Sachiko Nakane: Since it is time, we now would like to get started. Despite your busy schedule, thank you very much for attending the earnings call by ORIX Corporation. This is the second quarter of fiscal year ending March 2025 earnings call. I'll be serving as a moderator. I am from IR Sustainability Promotion Department, Nakane. So at today's earnings call, we have Director Representative Executive Officer, President and CEO, Inoue; and Operating Officer in charge of IR, Kazuki Yamamoto. [Operator Instructions] Today, we will be explaining about the progress of our performance and outline of our business. Mr. Inoue will explain, and this will be followed by some additional remarks by Yamamoto-san and also open up Q&A after that. We plan to hold this about an hour. So Inoue-san, over to you.
Makoto Inoue: This is Inoue from ORIX. Thank you very much for your attendance. So let me explain by making use of the Slide #2. For the first 6 months of FY '25 margin, ORIX recorded pretax profit of ¥257 billion. Net income was ¥182.9 billion, up 42.8% year-over-year, a record high first half net income for ORIX. Now this represents 46.9% progress in our full year net income outlook of ¥390 billion, and we expect strong earnings to continue into the second half. So we will continue to work towards achieving our earnings target. First half ROE came in at 9.3%, and we will continue to recycle capital in order to meet our full year ROE target of 9.6%. Now please refer to Page 3. Here on this page, we have outlined progress for each of the 3 categories: Finance, Operation and Investment. For all 3 categories, I believe we were able to post first half results that were in line with expectations. Segment profit for each category were Finance, ¥92.8 billion; Operation, ¥105.8 billion; Investment, ¥89.2 billion, for a total of ¥287.8 billion. This event 47%, 44% and 48% of each category is full year target. Pretax profit, which are segment profit minus unallocated SG&A expenses from head office and administrative departments for first half were ¥257 billion. Please move to Page 4. In the finance category, the sale of 2/3 of ORIX stake, ORIX credit to NTT DOCOMO resulted in the business becoming an equity method affiliated term and reducing the amount of profit it contributes. Despite this, ongoing strong performance at ORIX Life Insurance contributed to earnings in this category. And therefore, we expect finance category profits to grow year-over-year on an actual basis after excluding last year's ¥57.2 billion gain on the sales of ORIX credit stake. Within Japan, we had expected yen interest rates to go up slowly. However, given the results of Japan's recent lower half elections in the National Diet, we now anticipate a scenario characterized by political instability, worsening of Japan's fiscal situation and further yen weakness. Although I feel there is some room to hope for improvement in finance-related spreads and asset management yields, we plan to carefully watch for trends and changes in the interest rate while maintaining our current policies to keep the status quo in the financial segments. In addition, in light of the results of new U.S. presidential elections, I think that geopolitical risks and uncertainty could worsen owing to extreme foreign policy. The U.S. is likely to carry out rate cuts and economic stimulus measures, but these could lead to resurgence of inflation, higher interest rates and weaker yen. So as of now, it is difficult to get a read on condition for 2025 and beyond. In any case, we can say that now is the time to proactively grow the scale of our assets in the ORIX USA business. However, during this fiscal year, we will prioritize a conservative view on credit cards and plan to begin this asset expansion in earnest from FY '26 March end and beyond. That said, we are seeing some signs of a recovery in the private equity market and some areas of the real estate market, while the CLO market is clearly on a recovery track. Although we see some room for upside potential during this fiscal year, we have not reflected such expectations on our earnings projection for the segment. In any case, in light of the fact that we are doubtless in a period of political uncertainty, we have slimmed down the ORIX USA balance sheet using both securitization and third-party sales to ¥10.8 billion as of end September 2024, a reduction of about $2 billion over the past 2 years. We remain cautious on the Greater China region. We have held off new investments in China, including Thailand and ORIX, owing to the sluggishness in consumer spending and the severe real estate plan. The balance of our investments in Greater China are less than 3% of total group assets. So we view our risk associated with this region as limited. These revenues in other regions of Asia and Australia segment are healthy, and we have no particular concerns regarding these businesses. Please move on to Page 5. In the operation category, pretax profit rose 5.1% to ¥105.8 billion, achieving 44% of our full year target. We expect profit to rise for the full year as well. At Kansai Airport, the number of foreign passengers has risen to 109% of pre-COVID period. By spring 2025, the renovation of Terminal 1 building will allow us to expand our capacity for overseas route traffic to 40 million passengers. This will position Kansai Airports to be completely ready to host visitors for the Expo 2025 Osaka Kansai, Japan. In addition, an increase in inbound tourists has led to sharp improvements in both occupancy rate and profitability at ORIX's hotels and inns, outside the Kansai Airport, ORIX's current businesses within the Kansai region include the Umekita Phase 1 and 2 projects where ORIX Group, Mitsubishi Estate and Hankyu Hanshin Holdings have worked together as partners to jointly promote redevelopment of this key urban area. In September 2024, this group and 6 other companies together opened part of the Grand Green Osaka section of the project early, while the full scale open will be from 2025. In addition, the MICE IR project development will begin in earnest following the conclusion of Expo 2025. Total project costs are ¥1.27 trillion. Even after accounting for future inflation, ORIX Group and MGM will plan to invest between ¥300 billion to ¥350 billion each, while 22 major Kansai firms will contribute around ¥127 billion in total. This and ¥530 billion in financing from banks will complete the capital required for the project, and so we can expect the start operations in fall of 2030. In the Environment and Energy segment, we announced the acquisition of hydropower resources in Spain by Elawan Energy. 175 megawatts equivalent production that is, and the signing of a power purchase agreement between Elawan and Google in the United States. In Japan, we continue to steadily move forward with the renewable energy business such as construction of energy storage station while keeping a close eye on interest rates and construction costs, our main focus continues to be contributing to a decarbonized society over the long term. Turning to the asset management business, Robeco Group, our core asset, saw AUM grew to a record high of EUR 358 billion, including Robeco asset management companies in ORIX Group now have assets totaling ¥74 trillion as of June 2024. And we continue to push forward in our efforts to realize scale of ¥100 trillion in assets at an early stage. Please move to Page 6. In the investments category, we achieved a 200% year-over-year increase to ¥89.2 billion in pretax profit. This represents 48% of our full year target. Many SMEs are facing successor shortage, and they are obliged to close their businesses. So our policy is to respect the corporate culture of investees and along with related stakeholders, we are to develop the businesses. So ORIX, during the investment term, we developed the successor of the investee using the sales network of group within and outside of Japan and promote the sales of new products of investees, introduce partners with co-work, including overseas, and enrich a branch network. So apart from capital provisioning, we are proud to be a partner being able to provide various benefits, not only PE investment, but Corporate Financial Services segment. we are sincerely facing the issues of business successor issue of 40,000 clients, including M&A referrals, we are providing various services. Please go to Page 7. So sale of Sasaeah Holdings and also sales of Hundred circus, which is a property operation facility. It is contributing to our investment category. In the second half, we are revisiting the portfolio and for the assets on potential sale, we are now discussing with the potential buyers. So we will continue to do so to achieve the target. During this fiscal year, from sales, we will be collecting somewhere between ¥520 billion to ¥600 billion. And also capital in new investment will be about ¥700 billion. So capital recycling is working very well. So we will avoid excessive impact on our financials. We will be managing appropriately ALM. ORIX has been targeting unlisted companies, and we have been carrying out marketing efforts, focusing on business succession products. But going forward, we will also proactive work on carve-outs related to restructuring of Japanese companies and also delisting of the investees. As a part of this effort, we have announced investment into projector business of Panasonic Connect. Going forward, we have to gain permits and also go through the procedures of spin-off of business division. So investment will be executed within March 2026. So Panasonic Connect will own 20% of the entity. So together, we will operate the business. So in addition, we have invested in lines which is a company which develops themselves educational software. So apart from PE Investments segment, including inquiries to the group, we have a rich pipeline. We will be selective in carrying out investments. And also, logistics-related investment, we have many under development, but with higher construction costs, there are impact on profitability. So we are paying attention to downside risk. Going on to Page 8, aircraft and ship segment. There were a defect of aircraft by Boeing, and there were also strikes and the supply of new aircraft are tight. And there are risks lease factors and new aircraft prices going up and airlines load factors are rising and the credit is improving. So overall, airline industry is achieving a healthy growth. ORIX Aviation, it owns and manages roughly 200 aircraft. We plan to increase mainly the narrow body of our fleet. And ORIX has a 30% stake in Avolon, and it announced the acquisition of CastleLake Aviation, an asset management firm of 118 aircraft. And it announced to use its own debt of ¥2 billion to acquire including their debt. The Moody's have increased the credit rating outlook from BAA 3 Stable to positive. So we will maintain the financial soundness and expand the business. And going forward, we will continue to work with ORIX Aviation and build the portfolio focusing on narrow-body, at least long term to leading airline carriers. We will continue to do the capital recycling. In March 2023, Santoku Senpaku joined the group, and we purchased 67 ships at a cheap price, including a new eco vessel using methanol fuel. We are proceeding with purchasing of 3 Panamax bulker. So based on today's market, the portfolio of ships is more than ¥100 billion. Going forward, we will drive with capital recycling and utilize ship management capability of Santoku and manage the vessels of a third party, and we would like to explore joining -- entering into coastal business as well. Moving on to Page 9. This is about shareholder returns and interim dividend. So at the earnings call of March 2024, we announced that our dividend will be higher of either 39% of annual net profit or ¥98.6, which was the dividend of last year. Therefore, the interim dividend will be 39% of ¥182.9 billion. This is first half net income, which means that it will be ¥62.17 per stock. So compared to ¥42.8, which was last year's interim dividend, it's the dividend hike by 45% to ¥19.37. And if we can achieve the net income of ¥390 billion, then the annual dividend per share will be ¥133. Please go to Page 10. While growing profit, we are mindful of ROE. That's how we want to improve our corporate value. That's core policy of our work. So for the buyback program of ¥50 billion, this is underway. And for the buyback of shares, until we improve ROE significantly, we are committed to continuing this program. So improving profit goes without saying, but we will continue to manage the company focusing on EPS. For fiscal year ending March 2025, this will be the final year for a 3-year plan of 2023, which was announced in 2023. So from the initial plan, ¥390 billion is nothing that we can be proud of, but we are planning to do our upload to achieve this level. And in addition, for the next 3-year plan, the discussion is already underway, so that stock price can continue to achieve more than 1x PBR in a stable manner. And also, we would like to go on to achieve ROE 11% and 15%, we will cost with measures. So when we announced the results for fiscal year March 2025, we would like to share that direction. That will be all from my end. Thank you very much for your kind attention.
Kazuki Yamamoto: Mr. Inoue, thank you very much. So this is Yamamoto speaking. And now I will share some of the details of our financials. Please refer to Page 11. In the first half, segment profits were ¥287.8 billion, which is up 29% year-over-year. This breaks down to ¥221.5 billion base profit, dark blue colored and ¥66.4 billion in investment gains, light blue this. On the lower right-hand chart shows quarterly profit trends, both base profit and investment gains have trended well with base profit rose to -- rising to ¥117.7 billion for the second quarter. Investment gains coming in at ¥32.9 billion, both being the highest quarterly figures in 3 fiscal years. Please turn to Page 12 and 13 for outline of segment profits and segment assets. 7 of 10 segments reported higher segment profit year-over-year. Several segments enjoyed double-digit profit growth, including real estate, PE and Concession, Aircraft and Ships and Corporate Financial Services and Maintenance Leasing. Of the 3 segments, where profits fell year-over-year, Banking and Credit segment was, as outlined by CEO Inoue earlier, owing to the absence of profits from ORIX Credit. In Energy & Environment, profits were down due to the sluggishness in the overseas wholesale electricity market and one-off losses from an investee booked in the first quarter. However, ORIX renewed energy capacity in operation has grown from just 1 gigawatt at the end of March of 2019 to 4.5 gigawatts at the end of September of this year. With an increase of 0.2 gigawatts in the last 12 months, while being mindful of short-term market trends, supporting demand for clean energy caused by the dramatic increase in AI and DX remains to be very important. At the same time, it is also key to carefully watch trends in interest rates and construction costs. Segment assets were down slightly by ¥114.5 billion versus end March to ¥15.9 billion, owing primarily due to foreign exchange. This is largely in line with our initial expectation. And next about the financials on Page 14. As you can see on the left, as of end of September, including deposit, short- and long-term borrowing was ¥8.5 trillion. This was flat from last fiscal year. Including borrowings from financial institutions, we continue to raise funds efficiently through corporate debt market. So as you can see in the middle the funding cost. The funding cost related to foreign currency began to come down from the second quarter. FRB is set to continue to cut rates therefore, in line with the market consensus, we expect that U.S. dollar interest rate will decline. That's our assumption. Yen-based cost, the funding cost interest rate is on the rise slowly, but the favorable funding environment is likely to continue. So right now, the interest rate sensitivity remains the same as previous quarter, and yen interest rate hike are listed at slight negative. And this is because we have company used assets, which does not have interest rate sensitivity, and we also have some foreign-denominated assets, including emerging market currency that are linked to yen assets. So yen interest rate sensitivity remains to be positive. And for the ForEx, with a ¥1 cheaper impact before tax profit is ¥1.5 billion. So ForEx remains to be volatile. So including hedge, we need to flexibly and efficiently control the risks. Of course, the sensitivity analysis of ALM. This does not include the future interest rate outlook, businesses and financial operation. Therefore, our base case is for U.S. dollar and euro interest rates to come down and a slight increase in yen interest rate. So according to the changes, we will flexibly change our policies. And for interest rate outlook and financial business direction. This was explained by Mr. Inoue earlier. And the result of presidential election in the U.S. and Lower House election in Japan and domestic policy. Regardless of this trend, we expect that both interest rate and FX will continue to be opaque. And so we need to carefully monitor. And as you can see on the left on Page 15, D/E ratio is 1.6x. This is a conservative leverage. And in the center, based on the assumption of A grade of global agencies credit rating agencies, employed capital ratio is stable at 93%. We will continue capital recycling and conduct optimal capital allocation of the portfolio. Through close communication with the credit rating agencies, we will pay attention to the financial soundness. That will be all. We would like to open the floor for questions now.
Operator: [Operator Instructions] So we have from Bank of America, we have Tsujino-san.
Natsumu Tsujino: So I will ask one question. So the ¥390 billion profit for the full year. I know that you have achieved about all the progress of 50%. So therefore, there was much progress as compared to the first quarter. Now in terms of the achievement, how comfortable are you especially in light of the pipeline of the sales that you are scheduling?
Makoto Inoue: This is Inoue answering to your question. Normally, as you know, our company, I'm sure you have been following our company for some time now. So we tend to be a tail heavy in achieving our fiscal year earnings and that was really the case in the last year. We are not that as heavy as we were in the last year. But in terms of gain on sales, we are scheduled to generate more in the second half, and it is trending well, I would have to say. So ¥390 billion achievement. I don't know how confident we are in achieving the goal. I think that we will be able to achieve 100% of this goal. And in terms of the pipeline, there are some nonpublic deals that -- non-auction deals on a one-on-one basis. So this is why I will not be able to disclose much, but it is on schedule.
Natsumu Tsujino: So I'm sorry to follow up. But especially the electricity power station referring to Page 22. I can see that there may be some major assets that you are planning to dispose. So Spain's electricity price that had fallen in fall. And I think there was some discrepancy in terms of the timing of the posting of these numbers in the past. But with regard to the disposition of these electricity facilities, the power facilities, do you think that you are gaining more appetite or what?
Makoto Inoue: So the case in Spain, in Europe, that is. So the government’s intent or the control of the electricity power, unfortunately, was out of our expectations. So this is why we did generate some losses, but then it is now recovering. And we did acquire hydropower station. And we have – so 150 gigawatts will start generating profit from next year. So as a core income, this will be reflected to our financials. And as for the disposition, if we can sell some of our assets, of course, we would have to refer to the balance of what we can gain on the sales of some of these assets. And of course, there will be a counterparty. If we were to sell these assets and we would have to get the permission of the government as well in many of the cases. So we would not be able to share when we will be able to dispose this asset, but we should be able to conclude the sales, and we’ll be able to post some gains. I’m sorry. Please allow me to limit my explanation to that.
Operator: SMBC Nikko, Muraki-san, please.
Masao Muraki: Yes. I am Muraki from SMBC Nikko Securities. On Page 4, so after the presidential election, how you recognize the environment, you mentioned a little bit, but in your businesses and also in your investment, what would be the impact, if you could elaborate, to be more specific, in the U.S., you were considering M&A of renewal energy. So will this be impacted, and yen is cheap. So M&A, exchanging yen to foreign currency, you will refrain from making such an investment. So with the politics, your business and your investment policy, what will be the case?
Makoto Inoue: With external directors, we had a discussion today as well. So Trump's ideas and his policy, it's difficult to read. It will be a deal by deal. So it's ¥150 to the dollar right now, ¥154 to the dollar. So I don't think Trump will admit this. To China, he's taking a strong line, and he will do that to Japan as well. So he wants to make yen stronger. So the pressure will be quite strong from President Trump. So if so, yen depreciation shifting to yen appreciation, that's the hunch that I have. But when it comes to U.S., it's all confined within the U.S. market. That's the business that we do. So we will not experience this Nippon sales case. And with ¥154, can we acquire -- should we acquire? And if we can gain profit, even at the exchange rate of ¥154, then we may give a go ahead. So in yen-dollar terms it will be quite significant with ¥154. But yen, dollar and euro, we are controlling everything separately. So we procure in dollar, and we pay in dollars. So of course, on the financial statements, there will be exchange translation, but let's say IRR would be 20% or so. If we can go after that or those that has growth potential like infrastructure and private credit companies and also AM firms, these are the potential areas that we are continuing to look for. So some are under due diligence phase. Did that answer your question?
Masao Muraki: Yes, I’ve understood very Well.
Operator: The next person is from JPMorgan. Sato-san, over to you.
Koki Sato: This is Sato from JPMorgan. So ORIX USA, the second quarter business conditions, if you could be so kind enough to share with us. So 32, 33 on those pages, you have shown the performance of ORIX USA. But it looks as if they have faced a pretty tough second quarter, especially real estate and also private equity because credit loss and also origination of real estate has remained to be sluggish, and that's a qualitative kind of description of the businesses. What has exactly happened in the second quarter which had led to such results? And also if you could be so kind enough to describe the impact as well.
Makoto Inoue: So it's a multifamily when we talk about the real estate property at BlueNet. So finance origination and all these agencies disposition, the sales impact is the main businesses. But as a result of the interest rate hike, the borrowers, unfortunately, the nonperforming loan has increased. So bad debt has increased. So we have taken over these assets and renovate them and to keep them and wait until the market to recovery. That's what we are working on. And this is why, unfortunately, it is putting a pressure on the profitability. So if the, of course, the interest rate starts to come down, I'm sure we'll be able to enjoy the normalization of the businesses, but it may take a little while until we can enjoy such a normalization. But I think the worst time is almost over. So we hope to enjoy something that is more positive, but reposition, renovation and also the management operations and also the disposition, the timing is to be thoughtful. So with regard to multifamily assets, I think for the next 6 months to 12 months, the current situation is likely to persist. Private equity, they are small in size and already at fair value. The book value had risen, but there has been some correction. So we are trying to kind of adjust ourselves to the fair value by way of carrying out an impairment. So in other words, we're working on the correctional adjustment. And this correction phase should be over and done with by end of this calendar year. And thereafter, we would like to watch over the development of the interest rate in the United States as well as the economic stimulus, which may be introduced by President Trump, so that we'll be able to resume our activities in the investment so that we can be ready any time. So that is where we are in the United States.
Koki Sato: If I could follow up or if I could ask you to follow-up, especially with regard to real estate. So the second quarter, if we were to cut out the 3 months, I suppose, USD 5 million -- I think it is only limited to USD 5 million. But just has been explained by Mr. Inoue just now. So if you were to think about the market risk, so you would like to, of course, maintain the current situation, the status quo. And do you think that you'll be -- do you think that the current level of profit generation is likely to continue from the next -- in the next quarter and onwards?
Makoto Inoue: For the second half, in other words, October through to March, we do not foresee much of the upside coming from the United States. We are remaining to be defensive in the United States. So therefore, so about USD 250 million or so of profit is what we are foreseeing to be generating, but it will not reach to $300 million, that is not our expectation. So this by achieving this – in achieving this ¥390 billion of the profit for the entire group, we do not expect a large contribution coming from the U.S. That’s what it is.
Operator: Next, Daiwa Securities, Watanabe-san, please.
Kazuki Watanabe: Yes. This is Watanabe from Daiwa Securities. On Page 10, this is about improvement of corporate value through investors meeting. The feedback has been shared at Board meetings. So if you could share some of the major points. And if you could give us some updates on the current trend of achieving midterm management plan.
Makoto Inoue: So in the U.S., I did IR roadshows and executive officers have made some explanations, and we share that to the Board members. And finance, investment and operation, we are disclosing these 3 categories, and now investors have a better idea of disclosing in such a way. So with these three categories, we would like to evolve how we go about disclosing the information. So that was some comments made by external directors. So ORIX is very difficult to understand, but we want to make it easier to understand. So as an effort in doing that, we will continue to disclose from these 3 category perspectives. Then we may foster the understanding of the market and external Board members also agreed. So that was discussed at today's meeting as well.
Kazuki Watanabe: So for the next midterm management plan, what kind of KPIs will be introduced? Any additional comments, so at today's Board meeting, so when it comes to qualitative, well, in the past, we created numbers and how we go about achieving those numbers. So from external directors or outside directors, they did not like it. We should start from strategy, talent and deals and projects. So however, the project we have then in front of it, how should we treat them and process them and incorporate that into our strategy. So we should make it upside down. That was the advice given. So in the coming 5 or 10 years, in what kind of direction are we proceeding?
Makoto Inoue: So that was the discussion made at today's meeting, but that was more at a qualitative discussion. So we need to also reflect the qualitative discussion into quantitative discussion and then come up with numbers in 3 years' time or 5 years' time. So those will be the steps. So when it comes to target setting, it will be somewhere between January and March. And then come May, I believe it was May, when we make annual financial results, how we will be discussing and announcing what will be considered. So we still do not have numbers yet. So if you could give us a little more time.
Operator: The next person is Sasaki-san from Nomura Securities.
Futoshi Sasaki: This is Sasaki from Nomura Securities. So as to the outlook for the next year and beyond, I would like to hear your idea, Mr. Inoue, for this fiscal year to the guidance, I know that the progress has been pretty smooth, and roughly about 10% of ROE is likely to be achieved. And this 10% of ROE, if you were to raise it to the level of 11% or 15%, with the current uncertainty that surrounds you and also making use of the capital may not that be easy, I suppose. So Mr. Inoue, what is the image that you have in your mind? If you were to continue the way you are, do you think that you can achieve 15%? Or is there any kind of other ways that you may have to explore in order to achieve this 11% or even beyond. So what is your kind of strategy that you have in your mind?
Makoto Inoue: That is a very difficult question. But if we remain to be where we are, as we are, I think it will prove to be very difficult for us to achieve 11%, of course, let alone 15%. Even if we were to repurchase our shares by ¥50 billion or even more, I don't think it would be possible for us to achieve such a level of ROE. So if we were to buy back a share to the extent of ¥1 trillion, we may be able to achieve that high an ROE, but that doesn't sound realistic. So why we proceed with like M&A, like acquire a company that enjoys high profitability or to sell some of the businesses that kind of experiences, low kind of ROE, or to gear up, perhaps. But in any case, I think we would have to raise the ROE and there are various different means and matters that we can utilize. But currently, if we remain to be as we are and who we are, then I don't think it is difficult to achieve 11% and beyond. So this is why we may have to continue to replace or recycle our capital and assets. That has to be continued. So if we remain to be where we are, 11%, maybe achievable. But going beyond the 11% to like 13% or 15% is not possible.
Futoshi Sasaki: So if you could follow up by sharing 1 piece of information. So are you thinking about something that is different from the past, and that could be like M&A or to divest low ROE company? You have given us some clue. But if you were to think about the business management from next year onwards, out of those 3 options that you have mentioned, which one, in fact, you would put the priority on? Which one do you think that you would like to focus on?
Makoto Inoue: Well, we would like to, of course, expand our asset management business. But even if you were to expand the asset management business, it may be limited to, like if it was to be AUM or ¥1 trillion, ¥2 trillion, that the return will be very limited. Now we have ¥75-or-so trillion, but we need to expand it to ¥100 trillion and even beyond. And this is something that we need to achieve in 1 or 2 years' time. And as a matter of fact, to the third-party investors, having been entrusted with their capital, in other words, expanding the AUM at the asset manager, in other words, we really want to be acquire an asset manager. But at the moment, the price is not right. So this is why if we are carrying out the negotiation right now, and if we are success -- if we succeed in acquiring it, we may be able to expand our AUM. And also one other business is Aircraft. Currently, we have 200 in our fleet. But 150, of course, Aircraft are making use of our investors' money. So we want to, of course, raise it to like 200 and even beyond. So this is not going to be a short-term solution. But if we were to pursue this way, the principal investment can be contained by making use of the third-party's capital money, I think that will be the first step. And as we have said, maybe to sell off some of the low ROA company and to acquire a high ROA company. On the other hand, the businesses on the other hand. So that will be my effort in the next -- my prime mission in the next 1 to 2 years.
Operator: Mizuho Securities, Sakamaki-san, please.
Naruhiko Sakamaki : Yes. It's Sakamaki from Mizuho Securities. I have 1 question. So the asset, the credit status of your assets, I would like to confirm. So data book on Page 27 or 28. Using this, if you could respond, that will be helpful. So the concerns that I have are the allowance for the credit loss from end of June, we can see the trend. But as you explained in the U.S., the credit, you're very prudent in provisioning and perhaps there are some concerns. So why did your concern come down since then?
Kazuki Yamamoto : So this is Yamamoto speaking, if I may. So I think you're looking at the supplementary materials for the credit loss provisioning on Page 28. So this is the number or this is the pace that you're looking at?
Naruhiko Sakamaki : Yes. Correct.
Kazuki Yamamoto : So here, as Inoue-san mentioned, in the U.S., so mid cap market, the credit situation, of course, we cannot be optimistic. So where we are investing in some of the loans, we are provisioning. We are being conservative and we reassess. So that is the reason. So the credit, of course, it is not increasing significantly and also nonperforming loan or loan under management, we have been controlling and we have been picking up signs to deal with this. But rather, in terms of our business direction, the market or the environment has not come back so that we can be proactive in getting these credits.
Naruhiko Sakamaki : Okay. Understood. So the provisioning for credit loss from end of June, it's coming down. So were there drawdowns? And where was it?
Kazuki Yamamoto : Well, the general provisioning, total asset in the U.S. is coming down and how we are reducing this. We are using CLO or selling fund of loan assets and also ORIX USA credit. The profitability is improving, and this is because we’re lighter in the balance sheet. So that is why general provisioning has been drawn down.
Operator: The next person is Niwa-san from Citi Securities.
Koichi Niwa: This is Niwa speaking from Citi Securities. So I hope you can hear my voice. As to the investment pipeline, I have some questions. And that is Page 45 of your deck. And if I -- if you could be so kind enough to allow me to understand how to interpret this. So I don't think there has been any kind of major changes by looking at this. I suppose you are kind of building in terms of the disclosure policy, you're just incorporating those that you can be absolutely sure of. But do you think that we could be a little more optimistic. If you could give us some more color to what has been reflected onto this page.
Makoto Inoue: So in specific terms, we will not be able to share anything at this point in time. Just to give you an example, Avolon, for example. So 70%, in fact, is owned by Bohai right now, but we may be able to acquire the 70% from Bohai so far as Avolon's stake is concerned or to acquire asset manager in the United States or here in Japan, private equity can be built up more here in Japan. So these are some of the conversation that is underway. So in total, although we have been sharing that we may be spending as much as ¥700 billion. But if you were to build all those up, we may be spending about ¥1 trillion or even more. So this is why we will not be spending that much, which means that we will remain to be quite selective. And so that would be contributed to the enhancement of our ROE. So that is continued. It is still underway. But if it becomes a more kind of a sure deal, then we may be able to disclose it. But I'm very sorry for this. But because of the nonconfidentiality or nondisclosure agreement, we will not be able to share anything anymore. But it is not just a thing at the pipeline. But while we would acquire some of the assets, but that will be recycling. So therefore, ¥700 billion of acquisition and maybe ¥1 trillion or close to that much of divestment. So if you could allow me to limit my explanation to that.
Koichi Niwa: So expansion of new business domain, so digging down deeper in the existing business kind of domain that I understand because you have a good level of expertise. But how about the new domain, the business domain? So when we talk about new business domain, so we mean by -- you mean by non-domain that belongs to -- that is nonexisting?
Makoto Inoue: Well, we do not describe between non-domain because we go from transaction by transaction. It just so happens that this – one of the transaction made all into like new domain such as the medical area. Some discussion is underway. I don’t know whether you can describe it to be a new domain because you do not segregate new to old or existing. So the private equity, M&A, there are several kind of deals that are under discussion right now.
Operator: [Operator Instructions] From Morgan Stanley, MUFG Securities, Takemura-san, please.
Atsuro Takemura: Yes, this is Takemura speaking. I have 1 question. So going forward, the capital gain, your ideas towards generating capital gains is my question. In the first half, there was a progress in profit and dividend is 39%. So that's your DPS this time around. So like last term, if a capital gain is skewed, then perhaps dividend will fluctuate. So which means that going forward, capital gains you will be leveling between first half and second half. Is that your idea for against the first half profit, it's 39%. So will you be applying that throughout the year?
Makoto Inoue: Well, this time, in the first half, yes, profit against that, 39%. So with 33% in the previous term, the interim dividend, it was the same. But if we raise to 39% and then same dividend as last year, interim dividend, I think everyone will be mad. So for the first time, we used the number of first half and multiplied by 39%, and it's the first time that we have carried this out.
Atsuro Takemura: So 39% of first half or second half?
Makoto Inoue: Yes, that's what we need to continue going forward. Then what concerns me is, okay, first half is already okay, but what's going to happen if we don't achieve the second half? So that is why in order to avoid a discussion, we are committed in achieving this ¥390 billion. So 39% against the first half. This idea will continue down the road.
Operator: [Operator Instructions] So Tsujino-san from Bank of America.
Natsumu Tsujino: So leasing, aircraft leasing, I have a question. So the price of aircraft is rising. So AerCap earnings call, for example. So in other words, I think there's about 20-some percentages in terms of the sale -- the gains on sales. So at Avolon, I know that there is a discrepancy in terms of the closing timing by 1 month or so, but there has been some gains on sales. But on the part of Avolon, 59 aircraft will now schedule to be divested, disposed. So at ORIX Aviation or at Avolon, so what kind of margin are you enjoying for the aircraft that you have sold? Any kind of expectations that you have or can we expect more profits to be generated?
Makoto Inoue: So up along the reason why we are selling more is because the low-spread aircraft, we should be selling them faster. That is our policy right now. So ROE, ROA of Avolon is not that good as ORIX Aviation. We’re not expecting Avolon to reach to the standard of ORIX Aviation, but we have been giving out the guidance. So for 50-or-so aircraft, whether we’ll be able to enjoy a large amount of capital gain, we are not sure. But I don’t think there will be a case whereby we’ll be generating capital loss. So among the airline kind of leasing, it is one of the best, ORIX Aviation is. So this is why we have been giving out a strict guidance to Avolon, that is to measure up to the expected standards. But if they are going to be purchasing any new aircraft, for example, ORIX Aviation. So that would be a holding period of 1 to 2 years. And so therefore, to enjoy a capital gain of about 10% to 20% is expected. I hope this answers your question.
Operator: Next from Nomura Securities, Sasaki-san, please.
Futoshi Sasaki: So 70% equity of Avolon, I think that's interesting if you're interested in buying that. But taking the risk of Greater China, what do you have in mind? And once you acquire the shareholder agreement or some kind of agreement needs to be exchanged. And I think I do recall that you are hedging by introducing the clause. So is such kind of deal possible? Well, for Bohai, 70%. They want to sell their stake to third party, but 30% of ORIX, there are some restrictions. So that is why we don't -- there's no one who are taking -- who are interested because of the [indiscernible] and so forth.
Makoto Inoue: And the sequel for this company is considering. And next year, there will be a completion of sales. And after that, Bohai will sincerely start to think about Avolon, and there is a pressure from Beijing. So at some point in time, they will be selling, and the buyer will only be ORIX, and there has to be a discussion. So it's about $5 billion for 70%, which means that ORIX alone will not be able to purchase the whole thing. But if ORIX is willing to hold 100%, some investors are willing to join us. So maybe we can take 51% in total and the remaining 49% owned by other investors. And after the purchase by improving the performance, we hope to bring the company to IPO. So that's the scenario that we are thinking of. So there's an intention of Bohai. But so far, Bohai, if they were to sell, they are thinking of us as a potential buyer. So if we don't become too greedy, then they might come to us. But if we become too greedy, they might try to go elsewhere. And if we purchase from Bohai, then there's no longer China-related risk. And thereafter, basically, we will not take any China or Chinese-related risks. We will be free from that.
Futoshi Sasaki: So Avolon, the airline of Greater China, they do have some exposure, so which means that if this continues, there's no problem?
Makoto Inoue: No. we will do the valuation of all airlines if we are to go through this process. And if there are any lease contract with a delayed payment, then, of course, there will be some discounts. And whether it be 1x or 0.9x of PBR, we will calculate and decide on the purchasing price. So we we’ll be taking a risk of airlines. But basically, the focus is narrow body. And if there is a default, then our Aviation for reposition capability, they have a lot. So with a reposition, we can apply that to other airlines. So there should not be a concern in this regard.
Operator: So it is almost time for us to finish off this session. So I would like to conclude this Q&A for now. So I'd like to ask Mr. Inoue to share his closing remarks.
Makoto Inoue: So for the first half, well, I think we have trended quite well. But the market remains to be uncertain, so I will not be able to say out loud that we are okay for the full year by 100%. But at the moment we have confidence in achieving ¥390 billion for the full year. So please continue to watch over the development warmly that is. So with this, we'd like to conclude the second quarter result briefing for ORIX. Thank you very much for your participation today.